Nicoletta Russo: Welcome to everyone who's joining us. Today, we plan to cover our Group's Q3 2021 Operating Results. In light of this, the duration of the call is expected to be around 60 minutes. Today's call will be offset by the Group CEO, Mr. Benedetto Vigna; and Group CFO, Mr. Antonio Picca Piccon. All relevant materials are available in the Investors section of the Ferrari corporate website. And at the end of the presentation, we will be available to answer your questions. Before we begin, let me remind you that any forward-looking statements we might make during today's call are subject to the risks and uncertainties mentioned in the safe harbor statement included on Page 2 of today's presentation, and the call will be governed by this language. With that said, I'd like to turn the call over to Mr. Benedetto Vigna.
Benedetto Vigna: Gracias, Nicoletta, thank you so much. And thank you, everyone, for joining us today. First of all, I would like to say that it's a great honor for me to be here today for the first time as Ferrari CEO and even a great honor to take you through the latest result of this wonderful company. Before joining this team, I always had the huge admiration for Ferrari, for its people, its achievement and of course, for its incredible cars and raising expertise, all brought together under a legendary brand that's known and respected all around the world. Now that I am in the previous position of being on this side, leading this unique company, my admiration is so much greater. But before we talk about the last quarter, I'd like to share with you a little bit of my experience here in Ferrari during the first weeks since I arrived in Maranello. First and foremost, I've been getting to know our highly motivated and skilled team and I've been very much impressive by their dedication to every detail, by their knowledge and by their skill. But most of all, by their openness to learning and improving everything we do, every step of the way. They all want to take Ferrari to new, even greater levels. They have made me feel very much at home from day 1. So I'd like to take this opportunity to thank everyone in the company for their warm welcome. We have no doubt, we have many exciting and rewarding times ahead of us, in which our opportunities have never been greater. And what convinces me of this, more than ever, are the following three key factors that I've seen so clearly expressed my colleague in my first weeks. I refer to passion, I refer to excellence and I refer to innovation. First of all, passion. You may have heard this word many times since it is often very used. But I believe here in Ferrari, it finds its true meaning. Everyone who has any connection with Ferrari, whether they be colleague, partners, and of course, our customers, all express a sense of belonging, a belief and a love for our brand, which is quite unlike anything I have known. Second, excellence. In Ferrari, we craft timeless cycles that are not only beautiful to look at, but also delivers a unique experience. Most of all, they are known for being fun to drive and this is something I can testify to myself. And third, innovation. And by innovation, I don't just mean the ability to explore technology to the maximum, but also the way we express visibility through the special collaboration between our teams in the cost and drive to perfect what we do and the creative inspiration we bring to our craft. The SF90 Stradale is a testament to this, also the SF90 Spider and the 296 GTB, all solid steps ahead in the implementation of our electrification plans that are part of our path towards new technology in the distinctive Ferrari way. Of course, this relentless dedication to our craft for our customers is also dedicated to our investors who place their trust in us and to you, to all of you who follow us. Now having shared my initial experience in Ferrari. Let's focus on the result of this last quarter. And here, I would like to highlight the following three things that are all first, revenues, cash flow and order intake. Revenue first. This is the first time in our history that in Q3, we crossed the €1 billion revenue threshold. Now cash flow. We have delivered the strong Q3 in our history in terms of industrial free cash flow generation. And last, but not least, order intake. This is the highest ever quarter of order intake across all models and regions with Mainland, China and U.S. being particularly strong. But how did we achieve all of this? How was it possible? Well, I'd like to point to the following three factors. First of all, we have capitalized through focus and discipline on a strong economic climate, as evidenced also by the solid performance of our pre-owned business. Second, we have the most beautiful, most innovative and widest product range in our history. The 296 GTB, with its hybrid V6, which we launched in June has been received with huge enthusiasm with orders flowing in even before customers have had the opportunity to drive the cash. And of course, last, but not least, we have to thank our incredible customers, both existing and new. Speaking of our customers, it has been really liberating to be able to start arranging events with them again. In September, in Sicily, I was delighted to attend the tenth anniversary of the Cavalcade, a truly memorable event in every sense. In fact, for the first time, over 120 historic and contemporary Ferraris joined a single parade. If you had been able to join me in Sicily, you would have been surrounded by selection of truly beautiful cars, Ferrari at its finest from the Monza to the Portofino from the hybrid power of LaFerrari and SF90 Stradale to historic and 50. But more than anything, this occasion truly emphasized that owning a Ferrari is so much more than just owning a car. It is the experience of being a member of the unique Ferrari family. And so I'm really proud to announce today to all our loyal Ferrari family members that the new surprise is coming soon with unveiling in the middle of this month of our second Icona model. It will be another very special occasion, just be patient for a few more days. Now after the Q3 highlights. Let's have a quick look together at the future. My first two months in Maranello confirmed to me that we are very strongly positioned to capitalize on the many opportunities we have in our hands today and ones that lie ahead of us. I believe Ferrari, as it has always done, will distinguish itself yet again through its creativity and ability to apply and interpret the vast array of future technologies and always with our uncompromising and distinctive style. This will happen while always remaining disciplined in our approach to investment. To achieve these results, our people are the key. They really are key. Through our special close collaboration, working with commitment and dedication for a common goal, we will deliver enduring success together. This has been the source of our unique success in the past, and it will also power our future, both within the company and outside the company, working with all of our partners, present and future. This is exactly the kind of innovative and open approach, you can expect under my leadership here as demonstrated also by the recent exciting collaboration we announced with LoveFrom. We are also making excellent progress with our brand diversification strategy to further enhance the vibrancy and vitality of our brand. We have embedded the first fashion collection. We have renovated our flagship stores in Maranello, Milano and Los Angeles. And Cavallino Restaurant, we reopened the iconic Cavaline restaurant years next to our own. We are making important progress also in our motor racing activities. Indeed, just a few weeks ago, in August, our 488 GT won at Limone, a circuit we will return to in 2023 to compete at the highest level with our hypercar. In Formula One, in the most recent races, we have seen some positive signs of progress as well. Competition on the track has been deep in Ferrari's DNA through our history. So it is today, so it will be in the future. There are many, many projects under development in our company. But there are three areas I would like to like highlight today, our brands, our products and carbon neutrality. Our brand first. Relentlessly, we will continue to nurture and evolve our brand by enhancing an already engaging, immersive and authentic experience for all our customers, current and new ones, whenever and wherever they get in touch with us, when they drive the cars, attend the event or enter our stores in the real world or in the digital dimension, we are fully committed to make this an extraordinary emotional experience. We are fully aware of this enormous responsibility, especially in a world rapidly changing like today. Now after brand, the product. We will continue the disciplined extension of our product range through the launch of Purosangue, which we will unveil next year. We will work to capture all the possibilities offered by technologies in a unique and distinctive way, always preserving our exclusivity and luxury positioning as we have done throughout our history. And finally, carbon neutrality. We will continue our focused journey towards carbon neutrality by 2030, a key priority for my tenure and for our business. And to be clear, in addition to our electrification journey, we are committed to addressing both direct and indirect emissions with a focus on energy and materials. At our next Capital Market Day, we will provide you with plenty of detail and color about our future plans and the path to delivery. And we look forward to hosting you in Maranello on June 16. Let me conclude these opening words, by again, thanking all my Ferrari colleague for their warm welcome and for all their amazing work. I’m deeply honored to be leading them into the next phase of our extraordinary journey. And of course, my thanks go also to our Board and to our Chairman for their support and confidence. And also to you, to all of you, for your precise and dedicated interest in everything we do. I would now like to hand over to Antonio to present in detail the Q3 2021 earnings.
Antonio Picca Piccon: Gracias, Benedetto and good morning or afternoon to everyone who is joining us today. The warmest welcome to you, Benedetto, also by me and the whole team here and the promise of our tireless commitment to drive Ferrari towards even brighter achievements, we’ll be at your side. Now let’s come to our quarter. Starting on Page 4, you can see the highlights of the Q3 2021 earnings. A very solid set of results across all metrics and exceptionally strong on industrial free cash flow generation. Our shipments were 2,750 units, up 18.9% versus the prior year and up 11.2% versus the third quarter of 2019. Group net revenues we €1.053 billion, increased by 18.6% versus prior year and up 15.1% versus 2019, driven mainly by volume and stronger product mix. EBITDA came in at €371 million, up 12.4% versus the third quarter of 2020 and up 19.6% versus Q3 2019. As already mentioned in previous earnings call, the EBITDA margin decreased compared to H1 2021 level of 37.3% as entry-level models were ramping up as expected and OpEx grew in line with our programs. Compared to Q3 2020, the EBITDA margin was also down since in such quarter of last year, the estimates of the F1 sponsorship and commercial revenues were revised upward and the impact of cost containment measures undertaken to react to the pandemic became fully visible. EBIT was €270 million, up 21.8% versus Q3 2020 and up 19.2% versus Q3 2019. Net profit was €207 million, up 20.8% versus the third quarter of 2020 and up 22.4% versus Q3 2019, resulting in diluted EPS of €1.11, up 20.7% versus prior year. Industrial free cash flow for the quarter was exceptionally strong at €242 million, supported mainly by the collection of the advances for the 812 Competizione. Turning to Page 5. You can see the details of the shipments of the third quarter 2021, up 18.9% versus the third quarter of 2020. Sales of 8-cylinder were up 39.4%, while 12-cylinders were down 35.1%, mainly due to the reduced volumes of the 812 Superfast. There are not yet sales for the V6 range represented by the 296 GTB. The shipments of Q3 were driven by the range models in the portfolio with the first deliveries of the SF90 Stradale beginning in the quarter and the Ferrari Portofino M entering the ramp-up phase. Shipments of the Ferrari Monza SP1 and SP2 continued in line with planning. All geographies contributed positively. As a result, EMEA was up 1.6% compared to our third quarter of 2020 when the region grew by 12.7%. Americas increased 40.1% after losing 34.7% in Q3 2020. Mainland, China, Hong Kong and Taiwan doubled. Thanks to the arrival of new models, in particular, the Ferrari Roma and the SF90 Stradale. Last year, the region had lost 25.2%. Finally, rest of APAC was up 21.1% from being almost flat in Q3 2020. Moving to Page 6. You can see here displayed the walk of our group net revenues for the third quarter, up 20.7% at constant currency. The increase in revenues from cars and spare parts up 23.5% at constant currency was supported by higher volumes and positive product mix, along with personalizations. Personalizations were up versus the prior year in absolute terms, sustained by volumes, while in line with historical average in proportion to revenues from cars and spare parts at around 17%. Engines revenues were up 24.8%. The improvement is related to higher shipments to Maserati; and to a lesser extent, to the rental of engines to other Formula 1 racing teams. The increase in sponsorship, commercial and brand was attributable mainly to brand-related activities. As already mentioned, in Q3 2020, our revenue accrual for F1 sponsorship and commercial was based on full year estimates updated in such quarter and improved compared to first half of 2020. Currently, including translation and transaction impact as well as foreign currency hedges had a negative contribution of €15 million, mostly related to hedges. Moving to Page 7. Let me review the change in our EBIT bridge, explained by the following variances. Volume was positive for €39 million, reflecting the shipments increase. Mix, price, variance was also positive for €41 million, thanks to the strong contribution of the SF90 family and the Ferrari Monza SP1 and SP2, along with personalizations, partially offset by the Ferrari Roma ramp-up and the reduced contribution of the 812 Superfast. Industrial and R&D expenses increased €12 million, mainly due to product innovation and start-up costs, including Formula 1. SG&A were negative by €4 million, mainly reflecting communication and marketing activities following the gradual restart of our events. Other decreased mainly due to higher costs related to the assumption of better F1 in-season ranking and nonrecurring charges impacting other supporting activities. The total net impact of currency was negative for €14 million. As a result of what I just mentioned, EBIT reached to €270 million, up 21.10% compared to the prior year and with an EBIT margin of 25.7%. Turning to Page 8. Industrial free cash flow generation for the quarter was €242 million. This exceptional performance for the quarter led us to beat our full year guidance in nine months only. Cash flow was mainly sustained by EBITDA and the collection of advances on the A12 Competizione, whose inflow was faster than initially anticipated. The working capital dynamics were also neutral for the quarter, which was unusual compared to our typical seasonality, mainly due to timing of our expenditures. These will be at least partly reabsorbed in Q4. All of the above was partially offset by €199 million of investments that are progressing in line with plans. The capitalization ratio was approximately 39% for the quarter, decreased versus prior year, essentially due to the increased weight of product innovation activities. Net industrial debt as of the end of September was €368 million versus €552 million as of the end of June, decreased, thanks to the robust industrial free cash flow generation of the quarter. On Page 9, we revised upward our 2021 guidance across all metrics on the back of the strong trading performance recorded so far and the confidence on positive development for the core business in the last part of the year, coupled with improved targets for our operating expenditures. The overall full year contribution of Formula 1 commercial revenues is still uncertain. However, opportunities may arise in addition to this improved outlook. Industrial free cash flow generation is now projected to be greater than €550 million, reflecting improved profitability, saving some CapEx compared to our previous estimates now seeing closer to €750 million and continuing support from net working capital. Thanks to the collection of advances on our special series and capital expenditures being weighted over the last months of the year. Our guidance still relies on the assumption that trading conditions remain unaffected by risk of the COVID-19 pandemic and continued scarcity of electronic components. However, the dynamics of current market demand never so vibrant before, support our confidence for the year and well beyond. With that said, I turn the call over to Nicoletta.
Nicoletta Russo: Thank you, Antonio. We are now ready to start the Q&A session. Over to you, Sarah. Thank you.
Operator: [Operator Instructions] We will now take our first question from the line of Thomas Besson at Kepler Cheuvreux. Please go ahead. Your line open.
Thomas Besson: Thank you very much. It’s Thomas Besson, Kepler Cheuvreux. I’ll have a couple of questions, please.
Nicoletta Russo: I’m sorry, Thomas, we have some difficulty hearing you. Could you kindly speak closer to the microphone, please?
Thomas Besson: Yes. Sorry for that, Nicoletta. Is it better now?
Nicoletta Russo: Definitely. Thank you very much.
Thomas Besson: Thank you. So it’s Thomas, Kepler Cheuvreux. I have a couple of questions. The first one may be quite unusual, but it’s the first time we have a chance to speak with you, Benedetto. Could you please tell us about your hiring process and what you believe have been the key qualities you bring in that have made you the one selected to run this company.
Benedetto Vigna: Hi, Thomas. Nice meeting here. Thanks for your question. Pretty interesting. What I believe, I can bring in Ferrari is three things. I think I can bring the experience that I’ve been able to navigate in the previous company through times when – in an environment that is pretty, I mean, changing pretty fast. So I think this is one thing I can bring. The second, I have been able and I’ve been exposed to pretty much international world. So I think this is also another contribution I can bring to the team. And last, I think, is about the leadership style that helped me to drive the team in the previous company to achieve the results that I think you have seen from the other company a few days ago. So these are the three things: international experience, leadership style and ability to manage situation in a changing time.
Thomas Besson: Great. Thank you very much. My second question is more classic for an earnings school. It will relate to the comments you may eventually make on CapEx for requirements for Ferrari for this year. And I think for the future, you’ll probably want to wait until June to give us more details. You’ve talked about CapEx being essentially in the last month of the year. Can we still expect the previous guidance to hold? Or are you going to be able to spend slightly less on plan for this year?
Antonio Picca Piccon: On this year I just explained, we are revising our estimates towards €750 million. And this is just better spending and skewed towards the end of the year with no delays. With respect to the future years, I think it’s important that we wait for the call as of the end of this year. We’ll provide you with indication on 2022. And then, of course, we’ll have the Capital Market Day, and we’ll outline the future there.
Thomas Besson: Thank you.
Operator: We will now take our next question from the line of Monica Bosio with Intesa SanPaolo. Please go ahead your line is open.
Monica Bosio: Good afternoon, everyone and thanks for taking my question. And welcome to Benedetto. I have two questions. The first one, if you can give us a flavor on the waiting list. And if you had some supply chain problem that could have affected the waiting list. And if yes, is the company is going to implement some action or to revise the general philosophy of the waiting list if they are too long. And the second question is on the order intake. I don’t know if you can give us some color, but I would really appreciate some color from a country level standpoint. Thank you very much.
Benedetto Vigna: So Monica, thanks for the warm welcome. I hope to see you also in person maybe here in Maranello. So I will start from the supply chain. The supply chain, I have to say that the team here – the team in Ferrari with also the support of suppliers have been able to manage properly this situation that many players are facing all over the world. So I have to express really a kind word for the team here and also for the supplier that have been supporting us. This is about the supply chain. About the net order intake as I said also in my part, there is, for sure, there are some – the new models, like the 296 GTB, for example, that is doing pretty well. That’s what I said. But there is also a strong positive trend across all the markets and all the segments. So this is very, very, very positive. For the waiting list, I don’t know, Antonio, if you want to add something, but...
Antonio Picca Piccon: Hi, Monica. As usual, we are above one year coverage for all models, and some of them are already sold out.
Monica Bosio: Okay. Thank you. So no problem on the waiting list as for the supply chain. Everything is under control. Is it okay?
Antonio Picca Piccon: Yes, this is correct, Monica.
Monica Bosio: Thank you very much. Thank you.
Operator: We will now take our next question from the line of Giulio Pescatore at Exane. Please go ahead. Your line is open.
Giulio Pescatore: Hi. Thanks for taking my question and welcome to Benedetto. The first one, I would like to go back to a comment that was made by your predecessor. I mean he said in the past that he never saw – he we didn’t see Ferrari becoming completely electric in the foreseeable future. I know you want to wait for next year or if you give us more color on this, but maybe can you just express your thinking around the electrification issue?
Benedetto Vigna: Giulio, I think that, in general, technologies are needed to address needs of the customer to delight them. What I would like to say is that we, as a company, started our electrification path already a few years ago. It was the case of LaFerrari and then it is the case now with the SF90 Ferrari. We will continue. And as our Chairman said in the previous call, we will unveil the full electric car in 2025. And I will be more delighted to show you the full plan when we meet here in 16 of June next year.
Giulio Pescatore: Okay. Fair enough. And just maybe one question on a comment you made just said that the company will continue to follow a disciplined approach to investments. Can you maybe elaborate a bit on the statement you made.
Benedetto Vigna: Yes, I think this is an important point. In all my career, I have always optimized the use of the capital to reach some goal. So I believe that the beauty of our work is to make sure that we reach the goal optimizing the use of the capital. That’s what I did in the previous company. That’s what I intend to do here with the team. Capital discipline is very important. Otherwise, let me say it this way, innovation would be too easy if you don’t have any boundary constraint.
Giulio Pescatore: Okay. And maybe one last one on more short-term. If you think about the new car you’re presenting in November, should the deposit for this model for the same person that the deposits for the month as follow so very strong inflows in maybe Q1, Q2 next year.
Antonio Picca Piccon: Hi, Giulio, Antonio speaking. Yes, we expect it to follow a similar path. It will not impact 2021 though, will start from 2022.
Giulio Pescatore: Perfect. Thank you very much. And good luck.
Operator: We will now take our next question from the line of Susy Tibaldi at UBS. Please go ahead. Your line is open.
Susy Tibaldi: Hi. Thank you for taking my question and good to hear from you, Benedetto. So one question to just go back to the waiting list, I wanted to ask what’s your view, your personal view on retaining the exclusivity of the brand and at the same time, you have this order book that continue to expand, and you will eventually reach a point where consumers either have to wait too long or you’ll be in a position to choose either to prioritize the price. So maybe increase the price mix a little bit more aggressively or having to increase the volume production. So in a philosophical way, like what’s your view on this scenario, which is obviously, it’s not a good place to be in, but it would be interesting to see how you approach this.
Benedetto Vigna: Hi, Susy. Clearly, I mean, the waiting list as Antonio said, is in good position. And I think that’s also already what we started. There is a way to manage it properly, playing with the price. And in fact, we already started to increase the price so that we can manage it properly this situation. But we have also to say that usually, what we see is that customers that want Ferrari, they also are willing to wait a little bit because when you drive a Ferrari, you don’t drive a car, you drive a Ferrari car. And I think the unique experience you get over there are memorable. So on one side, we are increasing price. On the other side, we believe that the Ferrari experience so that the people are going to stay and willing to do it.
Susy Tibaldi: Understood. And in terms of the full year guidance that you updated today. If we look at what this implies for the fourth quarter in terms of EBITDA, is only low to mid-single-digit increase year-over-year. And given all the strength that you’re seeing in the order book and the great line up that you have, it does feel a little bit conservative. And I wanted to check if there is any operational reason for it or if it’s your way of managing the business growth?
Antonio Picca Piccon: Antonio answering. Hi Susy. I think I made a comment in my speech already in the previous two calls. We have two elements that are impacting the end of the year. One is mix, which is a bit less strong compared to the first nine months and the previous half, particularly. The second one is OpEx that are growing a bit unusually compared to the previous year, and it is also in relation with F1. To the opposite, we see opportunities related to an uncertain element, which are revenues from the F1 commercial holders that we do not put into the numbers. So the result is what we outlined now as a guidance.
Susy Tibaldi: Perfect. Thanks a lot.
Operator: We will now take our next question from the line of Michael Binetti at Credit Suisse. Please go ahead. Your line is open.
Michael Binetti: Thanks guys for taking our question. Benedetto, let me add my welcome to you. Very, very forward to working with you on the story here over the next few years. I know there’s a lot of questions on guidance and everything today. But just backing up very simply, what do you think is the EV opportunity for a pinnacle luxury car company over the next five to 10 years? And then on Formula 1, since the business has a lot of overlap there, they’ve been very clear in the direction of their future power units, sustainable fuels and hybrid engines, they’ve talked about in the media quite a lot. How do you see the historical strategy for Ferrari of transferring Formula 1 technology into new road cars evolving over the next five to 10 years?
Benedetto Vigna: Hi, Michael. So I would start to talk about your first question. How do you see the opportunity? I would turn this in how do you see the opportunity that the new technologies offer to us. Because I believe – and I don’t want to repeat myself, but it’s really a profound belief I have. I believe that the technologies are really a way to make some unique, distinctive products that delight the customer. So now we are talking about different propulsion schemes that are using, let’s say, electrical engine. And this is something for sure, is an opportunity for us. And that’s the reason why we have been sharing with you partially, not in detail – not yet in detail, our electrification plan. What I would like also to say is that when under the same umbrella, you have also the possibility to take technologies that are made for racing. I think there is a unique opportunity in this sense. And I have to say that in these two months, I have gone – I spent some time with the colleague in the laboratories, and I have seen really something interesting, really something interesting. I’m sorry, I cannot say too much, but 16 of June, we will provide more color on this, Michael.
Michael Binetti: Well, thank you for that. And I guess let me ask you, what would you say to those in the financial markets early on since we still have a ways to go until June that are concerned about a small company’s ability to pivot to technologies that have required a lot of investment in other areas like electric vehicle and other non petro-engine technologies. And the levels of investment it might take for a small car company like this to capitalize on those opportunities.
Benedetto Vigna: I would say only one thing, Michael. I would say that the solution is to go through partnership. We have on one side is true, we are small. On the other side, it's also true that we have a strong brand on – in general, and this is also what I did in the other company. I think it's important to leverage at the best the partnership. So it's important that you select the areas where you want to excel. And on the others, you work with partners. This is what I believe is important for financial market to keep in mind. Clearly, if you want to do everything by yourself, it's going to be a challenge. You have to select what you do by yourself and what you do with partners. That's the answer, Michael.
Michael Binetti: Okay. Thank you very much. Look forward to see the new Icona. We'll talk soon.
Operator: We will now take our next question from the line of Philippe Houchois, Jefferies. Please go ahead. Your line is open.
Nicoletta Russo: Philippe, we cannot hear you. Maybe you are muted.
Philippe Houchois: Can you hear me – do you have me now?
Nicoletta Russo: Yes, now we can. Thank you, Philippe.
Philippe Houchois: Apologies for that. And welcome to you, Benedetto. We look forward to hearing what you tell us in June. I have two questions. Maybe one, Antonio, you can help is that there's a discussion around China and this prosperity politics. And every car maker, extensive cars or cheap cars tells me no problem. I know you had record deliveries in China again. But do you see on the ground any risk to your business plan in China, not selling cars, but maybe the upside you're expecting in China over the next few years be reduced as a result of this shift in politics. And the second question for you, Benedetto, maybe is on kind of building a bit on what Thomas asked at the beginning, in your selection process and what your road map or your brief is from John Elkann at Ferrari. I look back at Ferrari, it's the ultimate compounding business. And your predecessor always talked about being custodians of the brand. And I'm just wondering, in your discussion with John, how much of your job is to be a custodian, how much of it is to be a disruptor within the limits, of course, the fact you need to keep building on the history. But I'm trying to kind of understand your road map and how much of a rupture might expect from you at Ferrari?
Benedetto Vigna: Okay. I'll take this one, Philippe. Thank you. I'll take the last one. And then for China, Antonio will reply. So I'd like to say the following. My leadership style has been always, I would say, on the transformational side, with a strong focus on the result. I think that being a custodian of the brand and being, let me say, innovator on the product side are strictly linked. If you want as I said in my opening, if you want to develop and if you want to evolve the brand itself over the time, you have to – if you want to be a true guardian of the brand, then you have to follow to adapt the product, to keep it unique to go through innovation. So I think that the two dimensions go hand in hand. And again, to be custodian of the brand, the guardian of the brand, you have to read, to interpret the technologies, the offer of the technology in a unique, distinctive way like Ferrari does. Antonio, if you want to comment about...
Antonio Picca Piccon: Hi, Philippe. On China, for the time being, the order intake is surprisingly strong. Looking to the future, I think back in 2018, the Capital Market Day, we stated we are not betting on a significant change in or significant development there. So at least for the time being and comparing with our targets, whatever happens, there should not be a material drag. And all what could come from China compared to what we are used to should be a positive if there is an upside.
Philippe Houchois: Thank you very much folks.
Operator: We will now take our next question from the line of George Galliers at Goldman Sachs. Please go ahead. Your line is open.
George Galliers: Thank you for taking my question. And Benedetto, welcome from me as well. I just wanted to come back to the unveiling for this year and also as we complete this five-year business plan. At the beginning of the year, you mentioned there would be three unveilings in 2021. And at Q2, you said you have brought three new models to the market during the quarter with the 296, the 812 Competizione and the 812 Competizione Aperta. So I'm just trying to understand if it was always planned to unveil the next-generation Icona this year or whether there's been a pull forward? And also with respect to the 15 new launches between 2019 and 2022, is that still very much what you plan? Or could that now be 2023. On the same path, you also back at the 2018 planning stage, it said that you expected your hybrid mix for next year to be around 60%. Is that still your best estimate? Or are we looking at something lower than that given the products you've presently launched? Thank you.
Benedetto Vigna: Okay. Coming to the first question is, did you plan for this launch of Icona. I think here, the answer is very simple. We planned in – I mean, we decided that during the year to launch the Icona in November mostly because we saw a strong willingness and need, I would say, the customer were so eager to get a new Icona. So we felt the responsibility in front of them to satisfy, to accommodate their request. So this is why we pushed, we anticipated, I would say, this fourth launch. This is about it. Coming to the percentage split by propulsion, I will avoid to give any split how much is hybrid, how much is ICE. What I can tell you is that we are proceeding according to the plan, while for the future, for the year to come, we will present a very clear path forward with all the color in the detail during our next Capital Market Day.
George Galliers: Great. Thank you and very much looking forward to that event next year. Thank you.
Benedetto Vigna: Thank you, George.
Operator: We will now take our next question from the line of Martino De Ambroggi, Equita SIM. Please go ahead. Your line is open.
Martino De Ambroggi: Thank you. Good afternoon everybody. Also from my side, welcome, Benedetto. And the first question is for you. So what you're feeling, your opinion, what is the maximum level of volumes in order to preserve the exclusivity of Ferrari? And the second because I heard a lot of opportunities around, I agree. But what are the main risks you perceive apart from capital spending – CapEx spending, which is, for sure, a big issue going forward. And the last question is on the down payment. Just to know what's your assumption in the current free cash flow guidance for the current year concerning the down payments for the 812 Competizione? And could the down payment become a habit for more models or what you used to have in the past. So also for midrange instead of just super luxury cars.
Benedetto Vigna: So Martino, I will leave the down payment all this to Antonio and I will comment later about the volumes and opportunity risk.
Antonio Picca Piccon: Very quickly, on the down payments on the 812 Competizione are close to what we expected for the year. And as I said, they came in faster than we anticipated. Close to 80% of the total working capital positive change in Q3 was due to the advances on the 812 Competizione. We remain with a bit for Q4. As to whether this may become usual for the future, still early days to say. So far, it has been for some special series, and it was significant, as you witnessed for the Icona and is now visible for 812. We are obviously, from time to time, reviewing our policy in respect of collections from our customers and dealers. So we'll get back to that in the future.
Benedetto Vigna: So coming back to your question, the volume and opportunities. For the volumes, I would like to underline again, Martino that we are – we have been – we will be profit-driven, not volume-driven. Clearly, I mean, we will continue to make unique – to develop unique and distinctive Ferrari in a way that we can justify and we can also have a clear path forward. When it comes to opportunity risk, yes, I said several times in the opening speech that I see a lot of opportunities, opportunities that would depend on different technologies. And I really believe it. Clearly, when you have opportunities, that there also some risk, but I would say that this is the beauty when you are on the leading edge to do something unique, something new. And this also – there is a way, let me say, to manage some risk because you can, let's say, or through partnership, as I said before, or also avoiding to go along multiple path, okay. So the risk – the managing risk when you have different opportunities is, I would say, is an art that you learn just by doing. And I think here, I can contribute with my personal experience and with the – all the experience the team has.
Martino De Ambroggi: Okay. Thank you, Benedetto.
Operator: We will now take our next question from the line of Stephen Reitman of Societe Generale. Please go ahead. Your line is open.
Stephen Reitman: Yes. Thank you. And also welcome, Benedetto. I have two questions. I guess, first of all, to Benedetto, given your background, what is your assessment of the technical competence of Ferrari in technology, electronics and the like, that obviously you are very well versed in. And my second question regards the issue of the 812 Superfast. You mentioned that the V12 mix was down because of lower sales of 812 Superfast. Does that reflect life cycle I mean, obviously, you launched the Competizione version? Or is it also maybe switching over some customers to the SF90 family? Thank you.
Benedetto Vigna: Thank you, Stephen. I'll take the first part. I would like to share – to reply this question sharing my experience here that is more – I think it's much – giving much more color than, let's say, just sentences. I have clearly one of the first laboratory I've seen with the technical team has been the laboratory where new innovations are used. And I have to say that maybe the best objective I can use is to say that I've been impressed by the knowledge the team has on the technical side. But also, as I said before, by the passion to make things happen and also by the excellence and the way they want to push ahead the things. I can tell you that, as you can imagine, I have pretty deep network in this field. And I remember some practical cases where I was opening some channel late in the evening and the day after in the morning, they were – the team was already on top of it. And was able to keep the discussion with this top leader I put in touch with at a very high level. So the competence assessment that I have with this team is very high because of what they know, but also because of the passion and the excellence they want to push. So it's very positive, Stephen.
Antonio Picca Piccon: On your question in respect of the 812 Superfast, your assumption is correct. We're approaching the end of life cycle, not yet there, but volumes are clearly going down in line with our plans for that model.
Nicoletta Russo: Thank you, Sarah. I think now this ends our questions. And I'll now hand over to Benedetto for his final remarks. Thank you very much.
Benedetto Vigna: So, thank you. Thank all of you for all your time for all your questions, really appreciate and also for your warm welcome. Let me just close by repeating again the words I used in my opening speech that is passion, excellence and innovation, every day. And in everything we do, this is Ferrari, nothing less than that. I believe that when you will come here, you will really breathe Ferrari. And I look forward in future to many more occasions to talk with you and also to meet and to share our progress, to get your questions and for you to experience in person, what we are creating here. Good afternoon, everyone, and thank you again.